Operator: Good day and welcome to the Perion Second Quarter 2015 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Deborah Margalit, Perion Investor Relations. You may begin.
Deborah Margalit: Thank you, operator and good morning everyone. Thank you for joining us on our second quarter earnings call. The press release detailing the results is available on the Company’s Web site at perion.com. Before we begin, I’d like to read the following Safe Harbor Statement. Today’s discussion will include forward-looking statements. These statements reflect the Company’s current views with respect to future events. These forward-looking statements involve known and unknown risks, uncertainties and other factors, including those discussed under the heading Risk Factors and elsewhere in the Company’s Annual Report on form 20-F that may cause actual results, performance or achievements to be materially different from any future results, performances or achievements anticipated or implied by these forward-looking statements. The Company does not undertake to provide any forward-looking statements to reflect future events or circumstances. In addition, and as in prior quarters, the results reported today will be analyzed for the most part are on a non-GAAP basis, which management believes better conveys the operational state of the business. We will be referring to Adjusted EBITDA when mentioning EBITDA in our comments. We have provided a detailed reconciliation of non-GAAP measures to their comparable GAAP measures in our earnings release, which is available on our Web site, and has also been filed on Form 6-K. I would now like to turn the call over to Josef Mandelbaum, Chief Executive Officer of Perion. Josef
Josef Mandelbaum: Thank you, Deborah and good morning everyone. Welcome to our second quarter 2015 earnings call. This morning I will briefly discuss our results, update you on the state of our supply side monetization business and conclude with an update on our demand side mobile marketing platform. Yacov will review our financial results in more detail and we will then open the call to your questions. To start, I am very pleased with our second quarter financial results as we exceeded our guidance, delivering $48.6 million in revenue, $13.1 million in EBITDA, and $9.5 million in non-GAAP net income. Non-GAAP diluted EPS was $0.13 and cash flow from operation for the quarter was $9.8 million. More importantly, our monetization business is stabilizing and we are gaining traction in mobile. Our strategy is delivering the results we had expected. By year end, our monetization business will have returned to revenue growth, and, having completed a year of transition to our new revenue model, its profit margins will stabilize at a very healthy level. This business will continue to deliver strong cash flows that we intend to invest back into the business to fuel future growth. The two main areas that we are investing in are; first, expanding our monetization network to web and mobile publishers ; and second, growing our mobile marketing platform, which we expect to create substantial revenues and be profitable in 2017. While we continue to see opportunities with premium download publishers, the industry is still somewhat volatile. We have expanded our offering to content publishers both on mobile and web platforms, providing innovative and advanced solutions that will increase engagement and monetization on their sites. Our new SiteFuel offering addresses in-site search, which has had no innovation or rethinking in 10 years. It increases and prolongs the user engagement on the website, which in turn increases page views and decreases bounce rates for the publisher. The big data analytics, provided by this cloud based solution, allows us to incrementally enhance monetization for publishers through integrated native advertising. Regarding our mobile marketing platform, I am very pleased with the progress that we continue to make. MakeMeReach is now being integrated into the GrowMobile platform and performing extremely well. GrowMobile now offers advertisers fully managed, self-serve, and social capabilities, all on one platform, providing a high quality cloud based service with unmatched capabilities in the market today. We continue to identify synergies between MakeMeReach and GrowMobile. Combining a social marketing solution with the mobile marketing solution was clearly a need in the marketplace that we are addressing, and the client feedback continues to be very positive. In fact, we have already signed up several existing clients from both businesses to use the complete solution. We had 165 active advertisers with over $35 million of managed ad spend in the second quarter. This represents a $140 million annual run rate and 15% quarterly sequential growth. To further enhance the GrowMobile platform, and set us apart from the competition, we launched the beta version of our mobile engagement offering. Through the use of big data and automated analytics, our platform helps mobile marketers increase the life time value of their users, reduce churn, and increase engagement. Marketers will be able to easily create and launch campaigns that are better tailored to their business objectives. Additionally, the platform will provide information on targeting the right segments, and on choosing which incentives and channels to use at the right times. We are very optimistic regarding the long-term growth potential of this business. However, as sales in this area are generally accounted for on a net revenue basis, it will take time for it to contribute meaningfully to our overall revenues. Our focus now is to scale our global sales effort to accelerate revenue growth into 2016. Our cash balance continues to grow, reflecting the strong free cash generation of our business, and stands at approximately $128 million at quarter end. I know many investors have enquired about a share buyback and given our current stock price, it is something we have and are considering. We also feel we have a strong pipeline of M&A opportunities and continue to weigh all options to deploy our cash in a manner that best increases long term shareholder value. Now, let me turn over the call to Yacov who will walk you through our financials. Yacov…….
Yacov Kaufman: Thank you, Josef. GAAP Revenue for Perion this quarter was $48.6 million, compared to $109.5 million in the second quarter of last year. The comparative reduction on a year over year basis since the first quarter of this year, will continue through the fourth quarter as a result of our decision, exactly a year ago, to exit certain parts of the download industry and thus significantly reducing our customer acquisition costs driving sales. This quarter’s revenues reflect gross revenues of $52.5 million reduced by $3.9 million of our customer acquisition costs netted from top-line revenues. As we continue to transition our business to a lower risk model, we have succeeded in doing so with a smaller difference between gross and net revenues. We expect this level, of a 3 to 4 million dollar difference between gross and net revenues, to be representative for the coming quarters. We have nearly completed transferring all our new revenues to the new model, reducing the economic risk inherent in the up-front acquisition of users. Other revenues in the first quarter of 2015were $7.8 million, which was made up of $3.7 million of other advertising revenues and $4.1 million of product revenues, as compared to $13.9 million and $4.5 million in the second quarter of 2014, respectively. Other advertising revenues are highly correlated with search generated revenue as it comes from inventory on the home page. With the reduction in CAC, there was a corresponding reduction in queries and homepage inventory. In the second quarter of 2015, customer acquisition costs were $19.5 million, reflecting a gross cost of $23.4 million, reduced by the $3.9 million I mentioned earlier as being netted against revenues. On a gross basis, CAC has leveled off sequentially, providing for our stable revenue outlook for the next quarter. When comparing this quarter’s gross CAC expense to the second quarter of 2014 CAC expense of $56 million, the reduction in CAC is attributable to two main causes. The first; as I mentioned above, is our decision to exit certain parts of the download industry and to focus on higher quality premium partners. The second, as a result of our favoring a rev-share payment, over a prepaid price per install, the CAC is spread over time, in parallel with the revenues recognized. As we began in the latter part of 2014, we continued to improve on our cost structure this year. As a result, non-GAAP Operating Expenses, excluding CAC went down to $16.7 million in this past quarter, compared to $22.1 million in the second quarter of 2014. While almost all our expense line items went down, our investment in future growth has actually increased. As we focus on marketing our Growmobile platform, Sales & Marketing expenses have increased on a GAAP and non-GAAP basis. EBITDA in the second quarter of 2015 was $13.1 million, or 27% of revenues, as compared to $33.6 million, or 31% of revenues in the second quarter of 2014. Perion’s non-GAAP net income in the second quarter of 2015 was $9.5 million, representing a 20% net profit margin, compared to $27.4 million, or a 25% net profit margin in the second quarter of 2014. As a result, non-GAAP diluted EPS in this past quarter was 13 cents per share, as compared to 39 cents per share in the second quarter of last year. GAAP net income this past quarter was $8.2 million, with diluted EPS coming in at 12 cents, as compared to $17.7 million, with diluted EPS of 25 cents, in the second quarter of 2014. GAAP cash flow from operations in the second quarter of 2015 was $9.8 million and as of June 30, 2015 we had cash, cash equivalents and short-term deposits of $127.9 million, and working capital was $106.1 million. This concludes my financial overview. Let me now share with you our financial outlook for the third quarter of 2015. As we anticipated last quarter, we expect revenues to be flat with the second quarter and return to growth in the fourth quarter. Specifically, our third quarter outlook is as follows: Revenue is expected to be in the range of $45 to $48 million; Adjusted EBITDA is expected to be in the range of $7 to $9 million; and Non-GAAP Net Income is expected to be in the range of $5 to $6 million. Allow me to add some color to our guidance. Our 2014business model, which paid per install, upfront, generated revenues in 2014 and 2015. Therefore, since the expense was taken 100% in 2014, the 2015 revenues have no corresponding expense. This “expense-less” tail naturally declines, and is being replaced with our new business model, where expenses are matched with revenues, as they are generated. As a result, as we successfully offset the decline in tail revenues with newly generated revenues, it will take another couple of quarters for our profits to level out. So as we look into the fourth quarter and beyond we expect revenues to return to growth with healthy profits and cash flow. With that, we will now open the call to questions. Operator?
Operator: [Operator Instructions] Our first question comes from Dan Kurnos with The Benchmark Company. 
Dan Kurnos : Great. Thanks. Good morning guys. Let me just start Josef with the obvious question, which is, look we’ve heard sort of mixed bag from the other players in the space, IAC calling for sign to stabilization and those space, Pariah Bluecore calling for sort of a more – some ongoing attrition although they are looking to expand their partner network as well. What’s going on for you guys? What’s the secret sauce? Why is it working for you understanding with lap most of the changes? And on the go-forward basis, just as an adjacent to that, how much do you think the Windows 10 or Edge launch is going to benefit you guys and your results, if you’ve included any of that in your forward guidance? Thanks. 
Josef Mandelbaum: First of all, thanks, Dan for asking – being on the phone and asking the question. So, let’s start with the first thing. I am not sure there is a big difference between what I see Bluecore or us are same. I think, well, you cover all the three, so if you look in the phone calls and what the sandwich I did it well. I think everything we are beginning to see signs of stabilization. I think some of it depends on how far as you said; we’ve been lapping this now for a year. We got to get ahead of the curve a little bit I think on some of the other companies in this space by really taking the decision this time last year to take really a hard look at the business and cut drastically as opposed to slowly over time. So I think what you are seeing now is just a matter of us taking a probably a more of a one-time hit in the drop of revenues last year this time. And as now, our business model is evolving going forward, I think you are seeing that stabilization play out as we predicted. There is still volatility in the business. I think you know that and everybody is out there searching on the business to business side and clearly, the industry overall, I think every -- it will be a shock, just look at the numbers. I think a lot of these smaller payers and affiliate marketers who are causing problems are either gone out of business or left the business to go on to other areas. So I think we are finding, I would venture to say, I have to leave but I currently talk to for Perion, we are finding a good stable partner network that are loyal and that have good quality products that the consumers are downloading and we’ve learned to adjust with regards to the regulations in place, whether it be Chrome, whether it be Firefox or whether it be Microsoft as we go forward. So I think there is still some volatility, but as we are seeing it, we believe that we have reached a stabilization point and we have – we think pretty good pipeline of some premium publishers. We are not going after some other publishers. We could go after the download space as we decided we are just not going back there again from how we decide to move forward. With regards to Windows, I am sure we are partner of Bing. So we certainly expect to hope that that could be a positive for us. We’ll see how that plays out over time as we look at obviously the browser, the browser worries of now Edge and Chrome and Firefox, where frankly you hope me to me a mutual bystander. Ultimately, other partners are going to create products that the consumers will download as the consumer download grips, we are going to look forward and they’ll choose the browser of their choice and we go forward, we think that hopefully will be good for us, but it’s too soon to tell. We are going to go forward on that basis and we’ll obviously update as we can as we things rolling up. 
Dan Kurnos : Great, and then just, since you touched on it, this is going to be part of my next question anyway, it seems like everybody is trying to get into the content publisher space. I think Google has placed the premium on content publisher native on a go-forward and so, it’s a pretty hot space. So I just like to hear your thoughts on competition as you go after that space and with the entry since Bluecore signed a Bing deal recently and there is certainly the possibility that IIC swaps affiliate providers from Google to Bing. Just your thoughts on how competition in this space and the market dynamics evolve? 
Josef Mandelbaum: Yes, good question. I’ll start with – I think, Bing is doing what they should do. They are trying to gain market share. They are expanding their partners and Bluecore and IIC are the two other big ones out there. So, I would expect us to do something. Ultimately, it shouldn’t affect truly, I mean, I like Bill and I like Joey and they are great operators and that’s a good business. I think there is plenty of opportunity for the three of us to have a very robust business going forward on a revenue and profit side. Ultimately, it comes down to – when you are paying your partners, how much you pay them, what sort of yields you structure and the search partner whether it be Bing, Google or Yahoo, the deals we are probably going to get I am guessing there is going to be relatively similar, that was a matter of how we do it and I think we’ve all learnt from the history of this business and be judicious about who we deal with and the deals we structure. So I am relative confident that there is enough business around for all three of us to make the good living and to provide good shareholder returns. With regards to – I am sure, you ask Joey and he is the best one to answer what they are going to do when the Google deal ends. I don’t know. I won’t be surprised if they get a deal with Bing, but I don’t really know you have to ask him. With regards to content publishers, our approach there, this is the search, is really the focus on it’s a innovative non-traditional way in which we can increase engagement and then therefore page views and integrated advertising not just a standard display as, what in the standard video has. I think that place, that is a little bit crowded and we think, we have learnt over time how to really focus in on adding incremental value with innovative ad units and innovative product solutions through these publishers. That’s what we are going to focus on. We think there is a big opportunity there and obviously time will tell, but we feel confident about our ability. 
Dan Kurnos : Great, and then I’ll jus ask one last one and let other people ask here. Just on the mobile side, are there any specific new partner wins that you’d like to call out? I know you talked about the increase in active customers but are there any major new partner wins? Can you talk about the pipeline there and just since you’ve launched it, the traction you are getting with the self-service model would be helpful? Thanks.
Josef Mandelbaum: Sure. So, we are working diligently with some of our partners to make sure we can get permission to use their names. So just for the time, we – it wasn’t in our original – of tracking oversight. So we are going to back to our partners hopefully in the next earnings call, we will have, it’s going to be signing partners that we did sign ones up that are – I think they are both using the self-served and fully managed space. On the self-served side, on the mobile marketing – on self-served, with regard to social for example, it’s growing phenomenally well, growing very nicely. We are very excited about the MakeMeReach joining the team and we are – we think that’s a winning combination. On the mobile side, as you could imagine, it’s just more complicated, because we have 50 to 60 to 100 different networks of exchanges. So we have a good amounts of partners using the self-served platform today, but we are learning everyday how to make these better and tweaking it based on their feedback. So, I would hope that that – expect, not hope. I think in Q4, as we wrap up our sales teams which we are doing in the end of Q2 and Q3, we will see when a lot more activity on self-served in both our product is refined based on the input we have from these partners as well as our sales teams wraps. But self-served, the overall feedback we are getting is positive on both the fully-managed and self-served and the self-served on social is one that’s fully, it’s really rocking right now. So we are excited about that. 
Dan Kurnos : Great, thanks, Josef. 
Josef Mandelbaum: Thanks, Dan.
Operator: Our next question comes from Jay Srivatsa with Chardan Capital Markets. 
Jay Srivatsa : Yes, thanks for taking my question. Josef, as you look at Q4, you seem to be suggesting, you see some resumption in growth. Can you help us understand where the growth is coming from? Is it on the mobile side, your legacy business, help us give us some clarity there please?
Josef Mandelbaum: Sure, first of all, thanks for joining Jay, well, it’s good to have you. Yes, the growth will – first of all, one of the – it’s not going to be like 30% growth on a quarter-over-quarter. But we are going to see growth which is obviously a good thing for us. It comes from both. We are expecting mobile to grow in the fourth quarter and we are also expecting our monetization business as it’s leveled out now. We expect that we have a good pipeline of some new partners as well as the new expanded products we are launching for web and mobile publishers. We do expect that to contribute slightly in Q4. The combination of those three things, we think will provide some growth on a sequential basis in Q4. 
Jay Srivatsa : All right. In terms of the legacy business, I know, Bluecore and IIC they have all talked about stability and as of you, I guess the question is, we’ve seen this movie before where changes happen from Google and some of these other guys and that completely disrupts the model and lot of it is obviously unpredictable. The question I guess is, what is – what gives you the confidence that we have reached a level of stability going forward? 
Josef Mandelbaum: So first let me answer by saying, in general, and I think we’ve been very open about this. There is volatility still in this business and I cannot sit here today and tell you unequivocally there won’t be any more disruptions. I hope not, and we don’t think so, but I cannot say that unequivocally. So I want to make sure I am clear because, I don’t want any of you – say us later on, you said this. Having said that, the reason we think there is stability, first of all, we see the activity from our partners out there. We know what Chrome is doing and done. We don’t see any real major activities they are doing other than that. They have successfully reduced the problems they’ve had on Chrome in their opinion and made it more difficult to obviously make money from that perspective. We believe with the other browsers and the operating systems as well as the anti-virus companies, we are getting to a level where a lot of the aggressive activities is exacerbated. If the aggressive activity evades, then frankly the anti-virus companies, as well as the platform companies were trying to work together with them and a few other companies – the download companies in this space to work together to come to an agreement where we have a combined or shared outlook on what ‘s right and what’s not right to do in this industry. I am confident that we will get there hopefully in the next few quarters and that allows us to have some level of confidence that drastic changes may not happen going forward. It’s a combination of what we are seeing today in the marketplace as well as conversations that are happening between anti-virus companies and platform companies and monetization companies to really get that equilibrium in place. I think, all of us in the industry have had enough with the roller coaster rides. So, we are working hard. It doesn’t mean, it will happen for sure, but we think we have some good visibility that that is likely to happen more than now. 
Jay Srivatsa : Okay, and then, on the mobile side, can you help us understand how many transactions you are managing today to get the ad spend that you currently have in the current quarter and what is the real opportunity? I mean, where do you see this business going in the next year or so? 
Josef Mandelbaum: Well, I’ll start with the last one. The next year or so, first of all, it still will not be a profitable business for us yet. We are investing in growth. So, we believe that to really win in this business as I mean, Jay, you know, probably – you need scale. Without scale, I could have great profit margins but no business. So, first we need scale. So what we are doing now is, we’ve spent the last probably six months refining the products and the platform to make sure battle-tested and the last three four months hiring and building out a sales organization that can scale globally. We are going to continue to invest in that and I want to have those in place invest in marketing. We need to do more marketing to get the Growmobile name out there. And to show people the uniqueness of our platform. We should expect those two things to continue into 2016. As a consequence of that, we do expect revenues to scale and I would expect our revenues to at least double next year. Hopefully it will be more than that, as we go into 2016 and then obviously grow even young at a high rates into 2017 where we will become profitable. We believe that this is prudent spending on our part. And that the value we’ll get out of building this business and being one of the winners in this space, will certainly more than payback the investment we are making in the future. In terms of long-term, look, Jay, you know rather than I do, programmatic mobile video, social, those are going to rule the roots of advertising spend over the next five to ten years. We believe we have a solution that is unique and that we are positioned well to be one of – handful of players that can really scale the business on a first of all gross ad spend or managed ad spend basis and then depending on where the ultimate fees or take rate comes out, obviously our net revenue and profitability will be as a result of that. But, this is a $200 billion industry in five to ten years. And we think that for us it’s a – and that we have some big opportunity with our platform. In terms of transaction handling today, I don’t know, we mean by transactions, I can tell you we are rather handling billions of RTB bids, we are readily handling 20 billions of transactions through our platform today with regards to all the looks that we are getting in terms of the bid and ask on the buying inventory and spending the media buy. So, we expect that to grow. I am not sure that’s really relevant in terms of I mean, just we have a scale and technology to handle it. Really you want to look at number for points for showing the growth in managed ad spend. Those are two things that I think, we will be telling about the business over the next two years. And we are excited and we have high expectations that that will actually continue to grow nicely. 
Jay Srivatsa : Thank you very much. Good luck.
Josef Mandelbaum: Thank you, Jay. 
Operator: Our next question comes from Jason Helfstein with Oppenheimer. 
Jason Helfstein: Just a few questions. Can you – is there a way to quantify how much of the business today were – for example, like you are forecasting by the end of the year is still browser-based? And then, do you guys see any impact of IE 10.0 there has been some complaints by other companies that Microsoft doing things that were not favorable? The second question is, when you look at the economics of the Java deal that IIC passed, do you think that represents still of the pointing economics of B2B deals? So, kind of maybe talk to – is that a one-off deal or is that representative of some of the things you are seeing? And then lastly, as we are seeing more large platforms becoming things of performance advertising, like mobile app download app as things for example, Instagram in August it’s going to be or now is effectively allowing download apps to scale on its platform and so, kind of talk about what you think that impact might be on kind of you guys and your partners? Thanks. 
Josef Mandelbaum: Okay, thanks, Jason for joining. Let me start with the – they’ve done a good job with them. It’s probably more of a one-off than it is anything else and then there are not many big opportunities like – partners like Java out there that’s probably less than a handful. So I think, I don’t know any of the details, but I am sure Yahoo was aggressive to trying to build their market share for whatever reason, I see try to not to either not to participate or they walked out the Yahoo, I don’t know which one happened, either one. I think the economics were probably aggressive, but, for Java it makes sense, obviously it’s a big money maker for them. And Yahoo, got a good market share with a high profile customer. In my opinion, I think that’s good for the business, because, the more Yahoo migrates to premium publishers like Java, the less – there will be aggressive players in the space, but predominantly today working off of a Yahoo fee. Not necessarily the Yahoo blessing, but they are working off the Yahoo feeds, the more Yahoo can get good revenue from the Mozilla Firefox, from the Java, I think there will be much secure on the partners they deal with which is good for everybody in the industry. So, and I don’t think there are too many other big ones out there and as you know, Bing gone one with they, well and they got one with Java and Mozilla. There are many big single deals like that you can do. Next, on Mozilla, and for Windows 10 the complaints, we saw all the deals from others than Mozilla, there is no question I think that there are two sides of the coin here where from a standpoint of Mozilla I assume you understand that they are not happy that on the install of an updated Microsoft that they are presenting the user with a choice of having a default browser called Edge. I am sure they could forward that that wasn’t the case, but, Microsoft’s platform and optimal system and they can do what they want and I think the disclosure of how they do that, I think, it’s always something that you have many different opinions on. So we are hoping that as a partner of Microsoft, and Bing that, at the end of the day, the browser works to us kind of a little less relevant and they could have an impact. I am not going to figure it off, but that – where the browser – the user had - browser has on their machine, ultimately, when one of our partners constantly changes these folks search settings, then only we came up the default browsers will change whatever the browser is, whether that would be Mozilla, Mozilla it happens to be this, but the same hopefully clear concerns that we want everybody in the industry abide and by including Microsoft, including Mozilla, including Chrome and including ourselves. So, and that’s the second question from that standpoint. And the third question, I don’t know if you are getting, sorry, Instagram, yes, we are excited. Actually, we are a once partner of Instagram. So we are excited about being a partner there and I think that’s going to open up another world of opportunities for obviously partners with them and for platforms like ours, self-serve and fully-managed social platform now and our mobile anyway. This gives us the ability for us to service our clients even better by saying reconcile the complexity of having to deal with individually a Facebook platform, a Twitter platform, an Instagram platform. The mobile exchange is on mobile app networks. You can use our platform you can do it all through us. And the fees are relatively very small compared to what the benefits we give you on the optimization, we can give you on your ROI. So we think opening that up is a big boon and the big opportunity for people like us. And our platforms that we are building. 
Jason Helfstein: And, just I think you missed it, just, can you quantify what percent of the business today is still browser-based? 
Josef Mandelbaum: It’s the majority of our revenue is still browser-based today. As we are – I think, for us it’s a two-staged process. The first process we did, as you mentioned earlier, we moved the business model from an upfront pay per install model to more of the REV share model. And we are obviously working with a lot more premium publishers. The next phase that you will see in the rest of this year into 2016 is in fact to create more balanced revenues from, I’d say, non-browser dependent search revenues to more of a content publishing, things I mentioned earlier, like five fuel and other businesses and products we are working on. 
Jason Helfstein: Thank you. 
Josef Mandelbaum: Thanks, Jason.
Operator: Our next question comes from John Rolfe with Argand Capital.
John Rolfe : Hey guys. Couple of questions on guidance. I was hoping you could clarify your - the implications of the transition on expense matching about guidance and I think what I heard you say, or I know when I heard you say, was you expect to return to top-line growth in the fourth quarter, but because of the expense matching issues that you would not expect to return, I think to cash flow or EBITDA growth to maybe a couple of quarters after that. So, my first question is, did I characterize that correctly? And then secondly, any sort of soft guidance directionally you can give us in terms of where EBITDA bottoms and/or longer-term what your target margins for the business might be would be helpful as well?
Josef Mandelbaum: Sure, thanks for joining John. I’ll answer the first question and I’ll let Yacov answer the second. Your interpretation is correct. So, I am glad it was clearly looking. I’ll give you a little bit more color just to explain that it’s mostly a timing issue, meaning, the business profitability actually is very similar, maybe a little less than it was when paying upfront, because, when we are paying upfront, we are taking more risk. So we are able to extract the higher value, or not materially different. The difference is, if we started from like, a $0 base, and you add $1, right that you, let’s say in December 31, you add $1 you are investing, you expense that in December 31 of the year before, in the old model, all the revenue in 2015 would have been pretty much like expense free, so it all drops to the bottom-line. Even though on a 12-month basis, you spent a dollar and let’s say you made $1.30, right, so $1 so you made a 30% return, great. On the new model, the difference is, in December 31, you are really not spending the dollar, you are spending that January 1 and when you are spending you are not spending your dollar, you are spending let’s say, $0.10 or $0.09 every month and you are making over that period of time, right, the same dollar, maybe gross and here in stead of $1 you are making a $1.5. All right, sorry the cost is a $1.5. So let’s say it’s $0.05 less in terms of profitability, but from an accounting standpoint the way it’s treated in the P&L is every month as the revenues come in, you actually show me expense against that. Even though, again on a 12 month basis, your ROI on that is very close to what it was in both cases, just how it’s treated. So because last year, we still were spending almost all of our acquisition – marketing acquisition costs on a PPI basis or a pay per download – pay per install basis, it takes almost a full year, well, more than a full year to lap itself. So, what we are really proud of is that we’ve been able to move the revenues to a point where actually now the revenues – as the inflection point is happened and as more revenue is coming in now from a new model than from the old model, but because of the install revenue is going on, you will see that in Q4 continue to decline a little bit in the profitability as we go forward. I’ll let Yacov answer the second about where we see that’s leveling out.
Yacov Kaufman: Yes, so, as it just continue forward as Josef said, I think it would be important to note also that the –basically we are talking about two parts of the business. We are talking about the monetization part of the business, which we – as we said, is – has leveling out as far as revenue as well, and in a lag of about some quarters, we’ll be leveling that as far as profits. And then, offsetting those profits, we are talking about a significant level of profits, we have our investments in the growth mobile platform, which currently is actually only creating expenses and it doesn’t have significant revenues. That being said, we are expecting to generate significant revenues already in 2016 with the losses from that activity also declining and therefore into 2016, we would expect that some of those quarters we will start returning to growth and profits. But, right now, we are balancing our investment. So that we are creating revenues and profits in one part of the business, we are investing a portion of those profits and creating also a cash balance for ourselves to look for new opportunities from the profit that we are generating. 
Josef Mandelbaum: And I just want to add another thing, I think, one thing maybe misunderstood. The Growmobile business is generating revenues today. We are investing in it, there will be transfer there, but maybe give a little more specific answer to your question, John, we don’t expect a major drop-off in profitability from Q3 to Q4. There will be a drop, but it’s not going to be a major drop. So I think, to put in perspective, it’s still be a very profitable business and frankly better than most ad tech companies out there as we look at the overall EBITDA margin. And so, as most of the tale has been already eaten up in the first three quarters of the year. 
John Rolfe : So, let me ask one further question, then if you look into the middle of next year, once the monetization model has normalized, I mean, what level of EBITDA would you expect that business to be generating once it’s normalized and margin as we normalize? And then what sort of the rate of investment in the Growmobile business as we move? 
Josef Mandelbaum: Okay, so, I’ll take that. First of all, we are not giving guidance there obviously for the next year. So, I’ll try to come – from on the monetization side of the business, we think our – the profitability there with that business will surely be above 20% to 25% as we look at the business going forward. But that’s – on that business that levels out, we think that profitability is the right way of looking at the business. With regards to Growmobile, the investment it’s a significant investment for next year. I don’t know the exact number, but it’s – at least there are probably couple of million of dollars of a quarter of investment each quarter really on – in terms of investing in the business. Maybe little more than that, I don’t have the exact number in front of me, but we haven’t finalized the budget for next year, but just to give you a range, it’s in that range. 
John Rolfe : Okay, great. Thanks very much for the help. 
Operator: [Operator Instructions] Our next question comes from Aram Fuchs with Fertilemind. 
Aram Fuchs : Yes, just a couple of questions for Yacov actually. The shares outstanding seems to be bouncing up and down. Can you just talk about why that might be? And can you just – perhaps extrapolate for where shares outstanding might be in 12 months?
Yacov Kaufman: Well, generally speaking, shares outstanding are going up as – further the options are coming too many and exercise as well, but actually, sometimes it comes down because actually some options will expire as they are coming out and they are out of the money and so the number – the count will go down. But there is no method to them, just it’s going up and down, you are talking about a few 100,000 a quarter. 
Aram Fuchs : Few 100,000 a quarter is what’s being – is roughly what we can just straight-line extrapolate? 
Yacov Kaufman: That’s correct, that’s correct. 
Aram Fuchs : Okay, and then I am a little confused on the guidance and the difference – the difference in the tool bar business, you went to a lower risk REV share model and therefore the expenses stay with the revenue and that’s why revenue guidance is – that’s one of the reasons why revenue guidance is similar but, non-GAAP net income is down, but you are also spending money on Growmobile and I heard Josef say a couple million a quarter. Is it when you say a couple million a quarter, that’s just sort of conventional burn rate, cash including OpEx and CapEx combining some sort of revenue spend way or how can we look at why guidance – why revenue is stable? What portion is going from the different install model economics and what portion is going to go mobile? 
Josef Mandelbaum: Okay, I’ll answer with and Yacov can add a color. I am not going to go into too much detail. I think it’s a little bit – more details and we like to at this point in time. But I can answer the following. The revenues of the business as we said is stabilizing, the mobile business will continue to grow and we did the part over time. Those two things you mentioned are what’s driving the business that one is, the shift in the model from our monetization business, we have done 2000 by two years, so the monetization business is driving that lower thing as we left the tail revenue that Yacov mentioned earlier, but the portion of it. And that will stabilize as Yacov said, we think in Q4 and going forward, on the Growmobile side, as we get the specifics, basically what I am saying is, net investments in that business right, revenue is everything else you are taking, that investment business is between $2 million to $3 million a quarter and what we are saying here is, if you look at every other public ad tech companies, who was in the mobile or programmatic or video space, they were all losing money and when I say losing money, they are all addressing in the future and we have the luxury and capability recovery of great cash flow through investment in the future. So we can build a long-term value for the shareholders and I think that’s actually what shareholders should want us to do and that’s only the business deal what we wan to do and the combination of those two things will obviously in 2016 as well, certainly it will have very healthy profit margins and good EBITDA, but if we wanted to submit the business we can obviously do it better. But that’s not our objective and that shouldn’t be anybody’s objective of rebuilding a long-term sustainable business. So we think we are making the right choices. We are not wasting money. We are investing in what we think they are good opportunities to grow the business as well as being very cost cautious and prudent, I’d say the monetization business which as you know, has seen a lot of changes. Last year, we reduced our expenses by almost 23%, 25% with painful decisions we made last year to kind of re-size the business correctly. I think that hopefully you are seeing prudent management on both the expense side of the business as well as once you invest in new opportunities that we think has long-term potential. 
Aram Fuchs : Okay, and when do you start breaking out the Growmobile business, so we can look at it on a line item-by-line item basis? 
Josef Mandelbaum: I think, it’s probably the end of 2016 or 2017, it really depends on what the material enough in that part of our business, we will do that, it could be sooner. I mean, that will be a great problem or a great opportunity if it’s sooner. But given the size of our existing other business, we think it’s more prudent to – well, first of all, I don’t – raw material enough, number one, then number two is, we think it’s more prudent to invest and frankly we shielded from a lot of the questions that we are sure we get about why you are doing this, why are you doing that and focus on the long-term and not being swayed by short-term decisions. We are very – trying to learn from everything we’ve experienced to-date and making the right decisions for the long-term benefit of the shareholders. And that means, frankly, giving the ability of the business to breathe and to grow without the inception, short-term thinking that sometimes comes, not people like you, but a lot of other investors that we have and frankly just buy that you all being a public company. So we are trying to do that in a very systematic fashion. Obviously, well, it is material, we will disclose it and segment it and maybe before that, but right now, I would say it’s probably by 2017 for sure it will be disclosed segments of reporting. Yacov, is that probably correct? 
Yacov Kaufman: Yes. That’s probably, as soon it becomes the substantial part of the business, we will start segmenting it. 
Aram Fuchs : I appreciate being excluded from the group of short-term investors. And thanks a lot. 
Josef Mandelbaum: You are welcome.
Operator: Our next question comes with Eric Lederman with L3 Capital LLC.
Eric Lederman: Hi, Josef, how are you doing? 
Josef Mandelbaum: Hey, Eric. Thanks for joining the call. 
Eric Lederman: No problem. I just had one question, have you purchased anymore shares since that we’ve – two or three quarters ago? 
Josef Mandelbaum: I have not personally yet, because I have been in the blackout and as you know, it’s a company like ours, first of all, being the CEO of the of the company, public company, I was actually looking at acquisitions all the time. My ability to buy shares is limited. I will tell you that if I have the ability or when I have the ability, as I did last time and I think you know Eric, I bought at $7.40, flows you on the call, you know my purchase price. So, I am feeling the pain of all the investors like everybody else. I believe that we will get back up and eventually our stock price will reflect the true nature of the business. If the opportunity arises Eric, I would hope and expect that I would again purchase, because I think it’s $2.50 or whatever the stock is, I am looking at it today, I think it is certainly a value that has little downside and a lot more upside. 
Eric Lederman: I agree with you. Thank you.
Operator: It appears there are no further questions at this time. Mr. Mandelbaum, I would like to turn the conference back to you for any additional or closing remarks, sir. 